Operator: I would like to welcome everyone to America First Multifamily Investors, L.P.'s, NASDAQ ticker symbol, ATAX, Fourth Quarter of 2021 Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. After management presents its overview of Q4, 2021 you will be invited to participate in a question-and-answer session. As a reminder, this conference call is being recorded. During this conference call, comments made regarding ATAX, which are not historical facts are forward-looking statements and are subject to risks and uncertainties that could cause the actual future events or results to differ materially from these statements. Such forward-looking statements are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements can be identified by the use of words like may, should, expect, plan, intend, focus, and other similar terms. You are cautioned that these forward-looking statements speak only as of today's date. Changes in economic, business, competitive, regulatory, and other factors, could cause ATAX's actual results to differ materially from those expressed or implied by the projections or forward-looking statements made today. For more detailed information about these factors and other risks that may impact ATAX's business, please review the periodic report and other documents filed from time-to-time by ATAX with the Securities and Exchange Commission. Internal projections and beliefs upon which ATAX bases its expectations may change. But if they do, you will not necessarily be informed. Today's discussion will include non-GAAP measures and will be explained during this call. We want to make you aware that ATAX is operating under the SEC Regulation FD and encourage you to take full advantage of the question-and-answer session. Thank you for your participation and interest in ATAX. I would now like to turn the call over to Ken Rogozinski, Chief Executive Officer of ATAX.
Ken Rogozinski: Good afternoon everyone. Welcome to America First Multifamily Investors, L.P.'s fourth quarter 2021 investor call. Thank you for joining. I will give an overview of our business and the markets. And then Jesse Coury, our Chief Financial Officer will present the partnerships financial results. Following that, we look forward to taking your questions. For the fourth quarter of 2021, the Partnership reported net income of $0.11 Beneficiary Unit Certificate or BUC. $0.14 of cash available for distribution per BUC, a book value of $5.61 per BUC on 1.3 9 billion of assets, and a leverage ratio as defined by ATAX of 69%. For the year of 2021, the Partnership reported net income of $0.52 per BUC, and cash available for distribution of $0.64 per BUC. The Partnership is current and in good standing with all of our lenders and leverage providers. In terms of the Partnerships investment portfolio, we have received no requests for forbearance on our multifamily mortgage revenue bonds, and all multifamily MRBs are current on principal and interest payments. Physical occupancy on the underlying projects average 96% for the MRB portfolio as of December 31, 2021. Our current Vantage portfolio consists of 13 projects, six where construction is 100% complete, and seven others where construction or planning is still underway. For the six properties where construction is 100% complete, we continue to see good leasing activity with five of the six having achieved over 90% physical occupancy as of the end of December. We continue to see no material supply chain or labor disruptions on the Vantage project still under construction. As we have experienced in the past the Vantage group as the Managing Member of each project owning entity will position a property for sale upon stabilization. In 2021, three Vantage projects were sold, returning $29.8 million in original contributed capital to us. And $25.4 million in capital gains and preferred return or roughly 1.85 times multiple on invested capital. In 2021, we invested $37.8 million in six Vantage projects. In addition, we have invested in the Vantage project that owns land in San Marcos, Texas for future development with a projected investment need of $8.9 million. Our two owned student housing properties continue to have strong occupancy levels. Both are covering all of their obligations from project cash flow, including operating expenses and in the case of the 50/50 at University of Nebraska debt service. Both University of Nebraska and San Diego State are holding primarily in-person on campus learning. San Diego State did have a three week remote pause at the start of the spring 2022 semester, but in-person classes have resumed. As of today, the suites on Paseo was 95% occupied, which is above the level seen in years prior to the 2020, 2021 COVID-19 pandemic. The 50/50 is currently 89% occupied, which is slightly below historic levels prior to the 2020, 2021 COVID-19 pandemic. Both property managers are actively preleasing units for the 2022 to 2023 academic year. Property Management at the suites on Paseo and San Diego was transitioned to Capstone on campus management as of January 1, 2022. On the property that secures our student housing MRB for Live 929 Apartments at Johns Hopkins University, we have seen a similar reversion to pre-pandemic performance. Leasing currently stands at approximately 97% with waiting lists for certain unit types, like the University of Nebraska and San Diego State, Johns Hopkins University is currently holding primarily in person instruction. On January 31, 2022, ATAX participated in a restructuring of the outstanding debt associated with the Live 929 project. The project owner East Baltimore Development, Inc. sold 75% of its membership interest in the project owning LLC, to the P3 Foundation Inc., a 501(c)(3) active in the ownership of student housing properties. There was an option agreement between the EDI and P3 for sale of the remaining 25% interest in 2023. As part of the debt restructuring, our original MRB investments were redeemed at par, and we purchased new MRBs. The new MRBs have an extended maturity day. However, through the introduction of a seven year mandatory tender feature, the overall bond interest rate was lowered and duration was shortened significantly. Additionally, an existing interest rate swap at the property level was terminated and funds were provided for future capital improvements at the property based on a 10 year plan from the property manager. We believe that with new ownership, new property management and adequate funding for capital improvements, the Live 929 project is positioned for stable performance going forward. As we have discussed before, the borrower on the Provision Proton Therapy Center, MRB filed for Chapter 11 bankruptcy in the fourth quarter of 2020. On January 25, 2022, the U.S. bankruptcy court for the Middle District of Tennessee approved the sale of the Knoxville office facility that secures our MRB to covenant health, a Tennessee nonprofit corporation for a purchase price in the amount of $45.25 million, subject to a 1 million escrow were related to the removal of certain equipment from the facility. Once that sale has closed and other administrative items have been completed those funds along with other funds currently held by the bond trustee. Net of expenses related to the bankruptcy will be distributed to the bondholders. ATAX owns approximately 9.2% of the principal balance of the outstanding bonds. We estimate that the final distribution to ATAX from the bond trustee will approximate our current$ 4.6 million valuation of those bonds inclusive of accrued interest. We continue to advance funds for the construction of affordable multifamily properties, securing our existing Governmental Issuer Loan and property loan investments. Such advances totaled approximately $44 million during the fourth quarter, which were partially funded by $39.5 million of debt financing proceeds. Turning to the markets, the end of the fourth quarter of 2021 so muni MMD to U.S. Treasury ratio is approaching their summer 2021 lows, municipal bond mutual fund inflows close out 2021 with continued strong performance since the mass redemptions of March 2020. The uncertainty in the fixed income markets surrounding the performance of the U.S. economy, the potential for inflation and potential fed interest rate hikes, has hit the municipal bond market hard at the start of 2022. The normal January effective reinvestment of January one bond redemptions and coupon payments has failed to materialize. The broader Muni market had a negative return for the month of January 2022 Muni mutual fund outflows for the first week of February tops $2 billion, the first negative number of that size since the start of the pandemic. In total, a net $5.7 billion has been pulled out of Muni mutual funds in 2022. In the Muni markets, 10-year MMD is currently at 1.65% and 30-year MMD is currently at 2.02%, roughly 35 to 40 basis points higher in yield than last quarter. In terms of our debt investment activity during the fourth quarter, as I mentioned on last quarter's call at the end of October, we closed on $42 million of MRBs to provide construction and permanent financing for the adaptive reuse into light tech affordable housing of an historic commercial property in downtown Los Angeles. We also provided a forward commitment to one of the nation's largest nonprofit housing providers for the permanent financing on a new construction project in the Long Beach, California area. In December, we added another Southern California closing for a $10 million MRB to fund the 501(c)(3) acquisition of an existing light tech project in Los Angeles County. We also made our two first senior housing debt investments. The first was a $44 million MRB commitment to fund the construction and stabilization of a new 154 unit 174 bed assisted living, independent living and memory care facility in Traverse City, Michigan. The second was a one year $14 million taxable bridge loan to a 501(c)(3) to fund the acquisition of 128 bed skilled nursing facility in Houston, Texas. We expect to see this loan refinanced into an MRB prior to maturity. We continue to see lending opportunities in both the construction and permanent financing market segments. We closed on two additional Vantage investments in the fourth quarter both in the Austin Texas area. Vantage of Hadow and Vantage at McKinney Falls, we have previously contributed equity to Vantage of Hadow to fund the purchase of the land. We have an outstanding equity funding commitments for these two projects of $11.9 million as of December 31, 2021. And both properties have commenced construction. We will continue to look to work strategically with our strongest sponsors on new investment opportunities where traditional sources of capital may not currently be available. With that, I will turn things over to Jesse Coury, our CFO to discuss the financial data for the fourth quarter of 2021.
Jesse Coury: Thank you, Ken. For the fourth quarter of 2021 we reported total revenues of $20 million net income per Beneficiary Unit Certificate or BUC basic and diluted of $0.11, and cash available for distribution or CAD of $014 per BUC. For fiscal 2021, we reported total revenues of $68.5 million net income per BUC basic and diluted of $0.52 per BUC, and cash available for distributions of $0.64 per BUC. We reported approximately $1.3 billion in total assets as of December 31, 2021. Such assets are primarily comprised of our debt investments, our joint venture equity investments and our own MF properties. Giving an overview of our debt investments portfolio, they consist of Mortgage Revenue Bonds or MRBs, Governmental Issuer Loans or also known as GILs and property loans. As of December 31, our MRBs GILs and property loans totaling approximately $1.05 billion and represents 76% of our total assets. We currently own 74 MRBs that provide permanent financing for affordable multifamily properties across 15 states. We hold significant amounts of MRBs related to properties in three states, based on outstanding principal, with Texas representing 41%, California at 23% and South Carolina at 11%. We closed on four new MRB investments during the fourth quarter two new MRBs totaling $34.4 million are secured by affordable multifamily properties in California. One MRB investment was the secondary market purchase of the Live 929 Apartments Series B MRB that shares the first mortgage lien with the original Series A MRB, owned by ATAX. The acquisition of the Series B MRB at a 20% discount to par, helped to facilitate the restructuring of the Live 929 apartments debt in January 2022 that Ken discussed previously. Our fourth MRB investment was the first seniors' housing investment secured by a, to be constructed, independent living, assisted living and memory care facility in Traverse City, Michigan. We initially advanced $100,000 at closing and will fund an additional $43.9 million during construction and stabilization. In addition to our MRB investments, we also closed on a property loan investment in the fourth quarter secured by a skilled nursing property in Houston, Texas, with an initial principal balance of $13.3 million that positions us for a future MRB investment secured by the property. We currently own nine governmental issuer loans that finance the construction of affordable multifamily properties across six states. The governmental issuer loans are functionally equivalent to our MRBs and that they are non-recourse obligations issued by governmental authorities secured by our mortgage on real and personal property of affordable multifamily properties. And we expect and believe the interest earned on these investments to be exempt from federal income tax. Unlike our MRBs we generally have payment guarantees provided by affiliates of the developer. In most instances, we also commit to fund property loans in tandem with the GILs that share a first mortgage lien and are typically funded after all GILs funds have been advanced. As of December 31, we had outstanding GIL funding commitments totaling approximately $102 million and related property loan funding commitments totaling approximately $129 million that will be advanced on a drawdown basis during construction. As Ken mentioned today, we have received no requests for forbearance of principal and interest payments for MRBs and GILs or property loans associated with affordable multifamily properties. In December 2020, the borrower of our Provision Center MRB property of Proton Therapy Cancer treatment center in Knoxville, Tennessee, filed for Chapter 11 bankruptcy protection. And as Ken mentioned, the bankruptcy court has approved the sale of the underlying property and we expect net proceeds of approximately $4.6 million at closing of the sale. Moving to our joint venture equity portfolio, it consists of 13 Vantage projects as of December 31, of which one investment is reported on a consolidated basis. All investments are for the construction of market rate multifamily properties that represent in the aggregate, over 3,700 rental units carrying value of our Vantage investments totaled approximately $108 million as of December 31 exclusive of the one investment Vantage at San Marcos that is reported on a consolidated basis. Of the 13 total projects nine are in Texas, two in Nebraska, and one each in Tennessee in Colorado. We have remaining - funding commitments for the seven projects under construction, totaling approximately $32 million as of December 31. Though there were no sales of Vantage projects in Q4. We continue to earn a preferred return on our contributed equity during the whole period. On our MF properties portfolio, we own two MF properties totaling 859 student housing beds, and a net carrying value of approximately $54.8 million. Both properties provide college student housing serving students at the University of Nebraska Lincoln and San Diego State University. San Diego State University temporarily reverted to remote learning in January due to the emergence of the COVID-19 Omicron variant but has since resumed on campus classes. As of December 31, the 50/50 MF property is 89% occupied and the suites on Paseo MF property is 97% occupied, and both properties continue to meet all operating and direct mortgage obligations with cash from operations. Regarding our debt portfolio, we use a variety of debt financing facilities to leverage our investments in MRBs, GILs and property loans. This leverage totaled $822 million in the aggregate as of December 31. In the fourth quarter of 2021, we received gross proceeds of $64.6 million through various TOB Trust Financings for funding of our MRB GIL and property loan investments. Our $822 million of debt financing is approximately 36% fixed rate debt and 64% variable rate debt. Approximately half of our variable rate debt is secured by investments that also have variable interest rates. Such that they are at least partially hedged against rising interest rates without the need for separate hedging instruments such as interest rate caps or swaps. And October 2021, we closed our first debt financing facility with Barclays Bank PLC as the lender to leverage a GIL and property loan investment. The addition of Barclays provides an alternative financing source and diversification of our lender relationships. Also related to our debt financing, in February 2022, we executed an interest rate swap agreement with Mizuho related to the TOB funding of our new Live 929 apartment MRB investments. The interest rate swap effectively fixes the interest rate on $56 million of our variable rate debt financing for an initial two-year period. Regarding other metrics of the Partnership, we regularly monitor our exposure to potential increases in interest rates through our interest rate sensitivity analysis, which we report quarterly and as included on page 62 of our Form 10-K for 2021. The interest rate sensitivity table shows the impact to our net interest income given various scenarios of changes in market interest rates. These scenarios assume that there is an immediate rise in interest rates and that we do nothing in response for 12 months. The analysis based on those assumptions shows that an immediate 200 basis point increase in rates as of December 31, that is sustained for a 12-month period will result in a decrease of approximately $5 million in our net interest income in CAD or approximately $0.075 per BUC. I will know this analysis does not reflect the interest rate swap related to our Live 929 Apartments. Debt financing that I mentioned previously, as that trade occurred after year end, but will be reflected in our Q1, 2022 analysis. Lastly, we regularly provide a net book value per BUC which as of December 31 was $5.61, which is down slightly from our net book value of $5.68 as of September 30. Our closing market price on the NASDAQ on December 31 was $6.43 per BUC, which is a premium to our book value of approximately 15%. As a market close today, our market price was $6.42, which is a 14% premium over our book value per BUC. Ken and I are now happy to answer questions from the audience.
Operator:  Your first question comes from Jason Stewart with JonesTrading.
Jason Stewart: Thank you for taking the question. Ken, if I could start with originations, it seems like - the second or third quarter in a row where we've had some pretty consistent substantial activity. If this had pretty decent run rate, do you think going forward or are we going to see some lumpiness as you as you make some of these new investments going forward?
Ken Rogozinski: Hi Jason, nice to hear from you, a couple of points that I make on the origination pipeline front. I think the first is historically there tends to be a little bit of lumpiness in origination volume that's really driven by how the states allocate their private activity volume cap on the new 4% light tech bonds that we originate or that we are the direct purchaser on. So there's a little bit of cyclical there that you normally see a, you know, a bit more activity in the - earlier in the year and then again closer to the fourth quarter as states have a clear eye on what deals are actually happening and what deals aren't happening. And you can give people buying cap allocations in the latter half of the year. So that's something that's kind of kind of been there ever since private activity volume cap was created back in the 86 Tax Act and so there's a little bit of that in there. The one thing though, that I would say that that I think has helped to smooth that out from our perspective is with the broader involvement of the Greystone servicing origination platform. And now I think even more powerful with the joint venture alignment in that business between Greystone servicing and Cushman & Wakefield is that we have a we have a lot more reach through those organizations. And so I think seeing more opportunities from those origination platforms will help us even that out some.
Jason Stewart: Right. And it's great to see the first seniors' housing investment I assume that was part of the partnership there?
Ken Rogozinski: That's correct that Traverse City Michigan deal was originated in partnership with one of the Greystone servicing seniors housing originators there.
Jason Stewart: Great. And on Live 929 on the Series B acquisition Jesse, by my calculation, it's something a little bit north of $4.25 million of a discount there. Once it's been restructured how should we think about that income coming back into the ATAX income statement?
Jesse Coury: Yes, so we restructured the deal with Live 929 by redemption of our existing Series A and Series B, MRBs. Concurrently, both of those were carried at a slight discount to outstanding principal. We've essentially exchanged those MRBs for new MRBs compared to our prior MRBs, the new MRBs have a slightly lower overall interest rate and lower near term debt service payments. The current accounting guidance applicable to ATAX for such workout scenarios is complex. However, I would say accounting guidance generally treats a workout restructuring such as this, in which you've given a concession using a carryover basis from the original investment, which may include discounts and previous impairments. And then any subsequent recovery and value is accreted in the earnings over the remaining term of an investment. So I wouldn't expect a large one-time recapture of that discount into earnings, it will likely be over a longer time horizon under the term of the new investments.
Jason Stewart: Okay, got it. Thank you for that. And last one from and I'll jump back into the queue. When we think about interest rate sensitivity, we always talk about a shift a parallel shift in the curve, which is clearly not what's happened. Ken, I was just hoping or Jesse, you could both talk to the flattening, and maybe the two different components one mark-to-market on a portfolio and where potential moves and BUC values go versus actual changes in interest rates and their impact on the income statement. If you could just talk about that in the flattening environment so that it is parallel shift that would be helpful? Thank you.
Ken Rogozinski: Sure, I'll start on that Jason, and then Jesse, you can jump in with anything else that you want to add. On your first question in terms of a flattening of the curve, as opposed to the move up in the curve that's presented in the interest rate sensitivity analysis that we present in the in the 10-K. The large majority of our assets on the debt side, if you think about them, they're either, you know, intermediate term, tenor, fixed rate bonds associated with the affordable housing projects, or we have the shorter term floating rates, GILs and property loans that are associated with our new construction portfolio. On the longer tenor assets in a flattening, you know, I guess in my old bond speak what I would call a, that kind of flattener where the short end of the curve is, is coming up and the longer end of the curve is sort of staying relatively stable in that situation for longer tenor assets. It's really not going to have that much of an impact on the underlying value of the bonds because the long - intermediate to longer end of the curve really isn't changing that much. So, we may see some erosion and value there just from, a drift higher in rates at that part of the curve. But the flattening of the curve in and of itself, I don't think it's going to have a significant impact on the on the mark-to-market or the valuation of those underlying assets, where I think we do need to be more mindful and more sensitive of a curve flattening environment is what that does to us on the funding side of the equation for those assets. So if you think about the breakdown that Jesse gave during his presentation of our fixed financing versus our floating financing, the way that I look at it is we really kind of have three buckets of matching assets and liabilities. We've got - that 36% that is fixed rate funding with fixed rate assets associated with it. There a movement, either just a generic movement in rates or a flattening of the curve isn't going to have a significant impact on our net interest margin. Because we had fixed rate liabilities and we have fixed rate assets. On the other end of the spectrum, with our GILs and our property loans, those are exclusively floating rate loans, and we have them funded with floating rate liabilities. And so in that situation, a movement of the curve, even in a flattening environment, the increased cost of funding that we're going to see there is going to be almost exactly offset by the increase in earnings we're going to see on those floating rate assets. So that's another situation where we feel that we're relatively match funded because of the similar nature of our assets and liabilities. Where we really focused our attention from a risk management perspective is really kind of on that middle third bucket where we've got fixed rate assets with floating rate funding, the biggest position of which is the new 929 MRBs which Jesse mentioned, where we actually did do a synthetic fixing of the funding costs associated with them through an interest rate swap for an initial two-year period. We're going to continue to manage that part of the portfolio very carefully. And we'll opportunistically look for situations where as we have further clarity about what our longer term strategy is going to be with those assets from a funding perspective, executing hedges there to try to minimize that risk.
Jesse Coury: Yes, and Jason I'll agree on everything that Ken just said a couple of clarifying comments on the mark-to-market I agree with Ken that, you know, if it is a flat yield curve, we're not going to see much value in our MRBs that are longer dated. And then even on our MRBs that are shorter dated just because of the shorter time to maturity, you're not going to see a lot of valuation change. And we haven't seen a lot of valuation changes in recent quarters, but any changes in those values won't impact our income statement or reported net income. Because of the nature of those available for sale investments will be reported through other comprehensive income. Agree with Ken that interest income on the income statement is most impacted by funding costs. I would say we do also have some exposure to variable interest rates for secured notes financing that we have which is secured by our tabs  residual interests. But we've got those largely cash collateralized at this point as potential additional funding source in the future. And once we determine kind of what our long-term plans are for the use of that funding source, then we'll consider potential hedging options as well.
Jason Stewart: Great, thank you.
Operator: Thank you. Your next question comes from Chris Muller with JMP Securities.
Chris Mueller: Again, Jesse, thanks for taking the questions and congrats on closing out strong year. Plus all the commentary around skilled nursing and senior housing and the bridge loan you guys did there? Can you size, the opportunity and the senior housing and skilled nursing? Is that something that can grow meaningfully over the next couple of years? Or is it more an opportunistic investment that will be just a smaller portion of the overall MRB portfolio? Thanks.
Jesse Coury: Thanks, Chris. I think from our perspective, you know, given the experience that Greystone has in the seniors housing and the skilled nursing arena, both as an owner operator and as well as an extremely active lender of both bridging and permanent financing. From our perspective, we're hoping to see good growth in this area and that we're not viewing it as sort of an opportunistic trade. We see a number of transactions out there in the marketplace in both segments of the market, the independent assisted in memory care area, and then the nonprofit oriented skilled nursing world where we believe that we can acquire new MRB assets at attractive accreted yields where we can effectively manage our risk associated with those assets. Those are going to tend to be relatively shorter in tenor versus our traditional affordable housing projects. Just because those assets don't have the same sort of tax credit and regulatory agreements, environments that affordable multifamily does. And in order for us to more effectively interest rate, risk manage them, we're going to stay a little shorter on the curve. But it's an area of good focus for us. It's an area where we have a very good ongoing dialogue with the Greystone origination platform. And so we're going to be looking from our perspective to be adding those higher yielding accretive assets to our MRB book.
Chris Mueller: Got it, it's helpful. And how does the yield compared to some of the affordable housing investments is it materially higher?
Jesse Coury: Again, there's a bit of a curve play in here that our traditional MRB investment on an affordable housing project is, it was give or take 15 to 18 years and on the existing project, skilled nursing transactions that we're looking at we're trying to stay in, let's call it the, the seven to eight year range on the term of those. But generically, I'd say we're probably looking at somewhere between 150 to 175 basis points of spread on the yield we're earning or hoped to earn on those MRBs on the skilled nursing seniors housing side versus what we see on the traditional light tech affordable side.
Chris Mueller: Got it, it's very helpful. And just the last one from me so it's nice to see the $0.19 distribution, including that special, can you just give me a little insight into how the Board thinks about these district distributions? Is it something that you set annually with what you think you can earn for the year? Or is that something that you look at on a quarterly basis, just trying to get some insight into how the Board thinks about that?
Ken Rogozinski: So distributions to our BUC holders are made as a determination of Greystone's excuse me ATAX's general partner based on a discipline, evaluation of the partnerships, CAD and other factors that are deemed relevant. We as management are in consultation with the general partner, and we continually evaluate the factors that go into BUC holder distribution decisions. It's something that we talk about with the Board on a regular basis at our quarterly Board meetings. And I expect that to continue as we go forward. So as we see the performance of the portfolio, and we see the recognition of gains on either Vantage sales or other asset transactions, I think we'll continue to have that discussion and evaluate the opportunities for either normal distributions or special distributions as those circumstances arise.
Operator: Thank you.  Your next question is from Ron Lane with ValueForum.
Ron Lane: Thank you. First just a quick question can you hear me I'm holding an iPhone?
Ken Rogozinski: We can hear you fine Ron.
Ron Lane: Okay, great. Thanks for the conference call. First my questions since the very beginning back when we held this in 2014 usually come from some of our members of value forum. We have 611 members, Andy knows that and Jesse does this to know the number. And we have a mix of guys like me who are have been retired for some time, which we would have one strategy for investing all the way down to folks like a family member who's 50 years old, has no time to watch the market, has full time job and kind of raise the family and those folks tend to put stops on holdings. Some of them are fairly loose, meaning about 10% to hold, you know, make sure they don't have a major license, and some get rather tight down in the 5%, 6%. All right, in order of importance, cash available for distribution, I understand that the Board of Directors decides on the quarterly dividend. Are there any members of ATAX on the Board of Directors?
Ken Rogozinski: The Board of Directors consists of the three independent members who consist our audit committee. And then the four other members of the Board of Greystone AF Manager LLC, who serves as the de facto board of the partnership are our Greystone employees.
Ron Lane: So if, if you and Jesse whatever have a strong point of view, but something, you basically got to just work with the members of the Board, before they mee. I know that all most of them probably owned some ATAX bucks, or stock or whatever. But I just find that rather unusual. And I spent 30 years in very large corporations where people had members of the individual divisions, we some of them represented, but whatever free country, I guess. Next issue that I've asked before most of them will repeat. So I'll just be brief. Do you have any updated estimate or guesstimate of on an annual basis of how much will be taxable versus how much will not be? It's a very important issue for folks like me, and I decided to add some to our tax deferred, you know, I risk, but I've typically held the vast majority in the taxable account, because historically, you know, you were over 90%, tax free, which reduce our cost basis. Now you're not, and I'm trying to get a handle last time I spoke with either Jesse or Andy, I think, and I could be wrong, that the best guesstimate was somewhere around 50%. But I. that's an old number. And I was wondering if you had a new guesstimate, or estimate because it's important to investments, a way to buy the paychecks and holding.
Ken Rogozinski: Yes, Ron. So we did have some significant taxable events during the year, particularly the Vantage sales and the resulting gain on sales. I would say the level of activity is very similar to the level of activity we did in 2018 and 2019, in which our taxable versus tax exempt income split was in the 55% to 70% taxable range, with the remainder being tax exempt, given the timeframe of our issuance of the 10-K, we're still finalizing taxable income and tax exempt income allocations for all of our unit holders for 2021. And we expect to issue our K ones in March. We do plan to include the standard disclosure that we've done in past years in our supplemental report that will be filed likely in the next one to two weeks, which will include a specific amount of breakout. But I would say to your question in terms of the estimate, I think we're going to be closer to where we were in '18 and '19 in that 55% to 70% taxable, and would that -- 
Ron Lane: Did you say 55% to 75% or 55% to 70%?
Ken Rogozinski: 55% to 70%, taxable if I had to think, at this point.
Ron Lane: Okay. Thank you. Basically, probably the last question, which I'm sure you knew I was going to ask, because I've asked it before. You've had in the markets had a lot of volatility lately, with all the stuff that's going on in the world. And that may become model of the future, I don't know. Yesterday, you dropped about 5%. Looking at the calculations today you picked up my best guess about 5.77%. Well, that's what you picked up a little bit up on Yahoo Finance. But yesterday my math showed about 5%. Some of our people got stopped out yesterday. And that's what happens when you run with tight stops. But as I just tell you the reason people do it because they don't want to wake up, you know, five days later to find out that they dropped a lot more than that. I have asked this before and I'll ask one more time. I've asked you to consider at least and discuss the idea of declaring your dividends for a quarter, like you've done before. But it's a simple task because they did it with one of the holdings that I owned a lot of before. And we sold it only when the COVID issue hit back in March of 2020. But they're still doing it. They took the quarterly dividends and they still do it to stay and they just break them down into thirds, and they established three ex-dividend dates, you know, whatever the timeframe is before the dividends are paid. And that makes it a lot of people like monthly income. I could kill us to pay quarterly or yearly. But I'm in the minority there. And I don't know if he ever discuss it. But I was told by the old company that when they changed it, it wasn't a major, costly affair, and he was smaller than you folks. And they were a retail outdoor mall retailer with mainly out in Arizona and Texas. But they're doing very well, very smoothly, you know, in terms of, because people know ahead of time, for each month, how much they're going to get, and when the ex-dividend date is. So I'm pitching it again. At some point, I'll probably stop, but I can't tell you when. But that seems to be discussed at the Board level.
Ken Rogozinski: Right. Well, Ron, one clarification question that I could ask you just to make sure that I understand. Are you talking about a monthly dividend structure where there's a monthly declaration of a dividend and a monthly payment of dividend? Or are you talking about sort of the same quarterly declaration of a dividend but rather than paying a dividend in a long yield, then a lump, you know, once again, somehow pay that dividend out over the trailing three months?
Ron Lane: No, it's very simple. Let's say you just make this up, let's say you decide that you're going to pay $0.15, or $0.21 for the quarter, based on your Board and all the stuff you have to look at to decide what they can afford to pay. All I'm saying is you take whatever the latest quarter is going to be divided into thirds, the company I'm referring to when I look at their quarterly -- their monthly dividends, it's about five digits long, you know, because sometimes it's not a number like $0.21 or $0.15, that can be broken down. But they do it. It's all computer generated once they decide to do it. It's a program that their CFO wrote a long time ago, who's now the CEO of a company, CEO  retired. But that's what they did. And it's been working for them. Because people want monthly dividends, a lot of people do. And that totally changes every quarter. But you know, for each quarter you announce whatever the distribution is, a dividend is, it would be then you just break it down. And just did changes all the time. In fact, he just announced a dividend increase finally, for the next quarter. So I think I did I think, Ken, did I answer your question?
Ken Rogozinski: You did Ron. You that's the structure that I'm not familiar with. And that's something that we'd have to have some discussion about my initial reaction is that that's not a market standard, and that might naturally cause more issues than it might solve for people. But I'll at least let you know that we'll do some research on that on our end, and we'll try to figure out how, and if an approach like that is even feasible.
Ron Lane: Okay, that's all I'm asking, because I was under the impression that it had been discussed before, and obviously not enough. You know, all I can tell you is what I've been told that I'm friendly with the new CEO, that it wasn't a big deal that was just to set it up. And now that it's programmed, they just say it's going to be $0.15 for the quarter. We're going to pay $0.05 per month for that quarter. But whatever. Just a quick question. I'm sure you've kept up with it. I think it's Blackstone is getting into the apartment complex, pretty significantly, multi-billion-dollars' worth, I have only read a couple of blogs about it. And you probably have looked at it, you may know more about it, you surely know more about it than I do. I think it was Blackstone. And it's going to be a big deal according to what they're saying. I have no idea whether it's going to going to be but I want to at least want to buy you that you probably know more about it than I do.
Ken Rogozinski: Yes, that's the that's the that's the announcement that happened. At some point in time last year, I don't under I don't recall the exact closing date. But I saw the announcement that was made either today or earlier in the week about the creation of this new I think it's April housing subsidiary of Blackstone that, you know, as I understand it, is really the, you know, the kind of the roll up or the allocation of the $5 billion portfolio that Blackstone bought from AIG last year, and, you know…
Ron Lane: Right. It was first announced late in the fall.
Ken Rogozinski: And that's a combination of assets is my understanding, that it was both the direct ownership interest that AIG had in affordable housing projects that as part of their all investment strategy, they owned and operated on a long-term basis affordable housing projects. They also had investments in low-income housing tax credits. They had a business where they ran syndicated funds that were guaranteed by AIG. And then similar to ATAX, AIG also had a portfolio of tax-exempt mortgage revenue bonds that they had securitized through a debt financing. So that pretty much is as much as I know about that. I haven't seen any disclosure or detail in terms of what exact assets are going to be in this new subsidiary and what their new strategy is going to be going forward, whether they're going to look to expand the print of that through new development or acquisitions or how they're going to manage it, but it's really just a roll-up of that old AIG Sun America affordable housing business into this new reporting company within Black. So I think it will be interesting to see from my perspective, what their strategy is going forward and whether they're going to be a competitor or whether there might be opportunities for us to get.
Ron Lane: Ken, why you mentioned one thing, I wasn't going to bring it up. Affordable. I know -- I'm pretty familiar with what you're doing for student housing and what you're doing for regular apartment complexes. Affordable is a little different issue. Is ATAX in that also pure affordable apartment complexes?
Ken Rogozinski: Well, if you look at our MRB and deal investments, all of that is on what I would define as capital A affordable housing projects because all of them have some form of regulatory agreement or land-use restriction agreement that regulates the income of the tenant residents as well as the rent that they pay. So from that perspective or for that definition then, yes, you look at a significant amount of our investments are associated with affordable housing projects.
Ron Lane: I asked that because we've lived in the same house in Florida and an island off the coast of San Augustine for 27 years. And every day, what's going on in Florida and some other states, new announcements, 1,000 new affordable homes or 500 new affordable apartments are being built in what used to be almost marsh lands. It's just amazing. And you can see it when you drive around. People -- the locals, of course, don't like it because it takes half an hour where you used to take 10 minutes to get anywhere. But it's a high-class problem, I guess, because the state is working. But affordable seems to be a big deal for retirees who don't have the asset base they once had, and they qualify financially for affordable, so you are in it. It's called the MRB...
Ken Rogozinski: The mortgage revenue bonds and the governmental issuer loans are all financing for affordable housing projects.
Operator: Thank you. And this concludes our Q&A session for today. I will turn the call back to Ken Rogozinski for his final remarks.
Ken Rogozinski: Thank you very much, everyone, for joining us today, and we look forward to speaking with you next quarter. Goodbye.
Operator: And with that, ladies and gentlemen, we thank you for participating in today's program. You may now disconnect.